Operator: Welcome to the East West Bancorp's Second Quarter 2017 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Julianna Balicka. Please go ahead.
Julianna Balicka: Thank you, Carrie. Good morning, and thank you, everyone, for joining us to review the financial results of East West Bancorp for the second quarter of 2017. With me on this conference call today are, Dominic Ng, our Chairman and Chief Executive Officer; Greg Guyett, our President and Chief Operating Officer; and Irene Oh, our Chief Financial Officer. We would like to caution you that during the course of the call, management may make projections or other forward-looking statements regarding events or future financial performance of the company within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements may differ materially from the actual results due to a number of risks and uncertainties. For a more detailed description of risk factors that could affect the company's operating results, please refer to our filings with the Securities and Exchange Commission, including our annual report on Form 10-K for the year ended December 31, 2016. In addition, some of the numbers referenced on this call pertain to adjusted numbers. Please refer to our second quarter earnings release for the reconciliation of GAAP to non-GAAP measures. During the course of this call, we will be referencing a slide deck that is available as part of the webcast and on the Investors Relations site. As a reminder, today's call is being recorded and will be available in replay formats on our Investor Relations website. I will now turn the call over to Dominic.
Dominic Ng: Thank you, Julianna. Good morning. Thank you, everyone, for joining us for our second quarter 2017 earnings call. I will begin our discussion with a summary of results on Slide 3. East West earned $118 million in the second quarter, up by 15% year-over-year and posted earnings per share of $0.81, up by 14%. Our second quarter results continue our positive momentum from the first quarter. Loan growth of 11% annualized and the favorable impact of rising short-term interest rate drove a 7% linked quarter increase in net interest income to $290 million, and net interest margin expansion of 16 basis points to 3.49%. During the quarter, our loan yield, excluding accretion income, expanded by 13 basis points compared to a modest increase in deposit cost of only 4 basis points. Largely as a result of revenue expansion, the second quarter adjusted efficiency ratio was 41.3%. Adjusted noninterest expense grew a modest 2% linked quarter. This resulted in adjusted pretax pre-provision income sequential quarter growth of 10%. In addition, our strong performance was supported by stable asset quality. Quarter-over-quarter, nonperforming assets declined by 8% to 37 basis points of total assets. And we posted net recoveries in each of our loan categories, resulting in total net loan recovery for the quarter of $2.6 million or 4 basis points annualized. Moving on to Slide 4. You will see that East West operating results consistently generate attractive profitability. Our second quarter return of assets was 1.36%, up from 1.27% a year ago, and our second quarter return of equity was 13.05%, up from 12.7% a year ago. These strong returns and profitability have been achieved while making investments in people, process and systems to improve risk management and enhance our products, meeting the expanding needs of our customers. At East West, our goal is to provide long-term value to our shareholders, and we believe that the investments that we have made and continue to make help us in realizing this objective. I will now turn the call over to Greg and Irene for a more detailed discussion of our business trends and second quarter results.
Gregory Guyett: Thank you, Dominic. I will begin by discussing our customer-related growth drivers in terms of loans, deposits and fee income. Turning to Slide 5, as of June 30, East West's loan portfolio reached a record $27.2 billion. Second quarter loan growth of $732 million or 11% linked quarter annualized was driven primarily by a $301 million increase in single family mortgages, which grew 33% linked quarter annualized and a $269 million increase in C&I loans, which grew 11% linked quarter annualized. Our C&I loan portfolio totaled $10.2 billion as of June 30 with growth spread across our industry verticals and sectors. The utilization rate was roughly in line with first quarter levels. The commercial real estate portfolio, including construction and land, totaled $9.1 billion at quarter end, up 6% linked quarter annualized. As we highlighted in our Q1 call, the higher net growth in the first quarter reflected a slower than typical pace of run-off, which was at more normal levels during the second quarter. Overall, Q2 loan growth was in line with our full year outlook of low double-digit loan growth. As noted on Slide 6, our deposits reached a record $31.2 billion as of June 30, up by $611 million or 8% linked quarter annualized. The sequential quarter growth in deposits was primarily due to increases in interest-bearing checking deposits, time deposits, money market accounts and savings deposits. Noninterest-bearing demand deposits were down modestly quarter-over-quarter by 2% to $10.5 billion. Average deposits grew 2% quarter-over-quarter or 7% annualized with positive growth in all categories, including DDAs. Over the past 5 quarters, our deposit mix has remained stable. As of June 30, demand deposits comprised 34% of our total deposits and time deposits comprised 19%. The steady share in DDA and our funding mix provides a strong foundation for a rising interest rate environment. Our deposits continue to comfortably exceed loans, and our loan-to-deposit ratio was 87% as of June 30. We believe we can support our projected loan growth while staying disciplined in deposit pricing. Flipping to Slide 7, you will see a breakdown of our fee income. Excluding net gains on the sale of loans, securities and fixed assets in the quarter, total fees and other operating income for Q2 totaled $42 million, up $3 million or 9% linked quarter. The linked quarter increase in fee income was broad-based across most of our customer-related fee income activities, including foreign exchange, swaps, letters of credit, loan fees and branch fees. Excluding mark-to-market adjustments related to CVA and currency hedges, our customer-related fee income increased by 6% sequentially and 25% year-over-year, reflecting our associates' focus on engaging with clients in these areas. I'll now turn it over to Irene to cover the quarter's financial results in more detail.
Irene Oh: Thank you, Greg. I will begin with the summary income statement on Slide 8. I will highlight a few items, and move on to Slide 9, 10 and 11 for a closer look at net interest income, margins, efficiency and asset quality. Excluding the gain on sale of a commercial property last quarter, noninterest income grew by 7% quarter-over-quarter, which includes the customer-related fee income Greg discussed as well as gains on sales in securities and loans. The provision for credit losses in the second quarter was $11 million compared to $7 million in the first quarter, and was in range of our full year provision expense expectations of $40 million to $50 million. During the second quarter, the company closed an additional renewable energy tax credit investment, which added $8.7 million to the tax credit amortization expense and contributed to the reduced effective tax rate of 25% for the quarter. For the second half of the year, the tax credit amortization expense is projected to be $50 million and the full year 2017 effective tax rate is projected to be 26%. Moving on to Slide 9 to review net interest income and margin. Our net interest income increased by $18 million or 7% linked quarter to $290 million. Accretion income increased $3 million to $6 million, largely from the result of net recoveries in the second quarter. The remaining ASC 310-30 discount accretion on our loan portfolio is $43 million, of which we expect approximately $29 million will accrete as income over the life of the loan as of June 30, 2017. Excluding accretion, our adjusted net interest income of $284 million grew by 6% linked quarter. Our second quarter of 2017 results continued to show the benefits of our asset sensitive balance sheet. Excluding the impact from accretion, our adjusted net interest margin of 3.41% was up 12 basis points linked quarter, benefiting from rising short-term interest rates. Adjusted for accretion, our loan yield expanded by 13 basis points quarter-over-quarter compared to a moderate increase in the cost of deposits of only 4 basis points. Following the June Fed funds increase, we have $800 million in loans subject to floors or about 3% of our loan book. Additionally, fixed-rate loan comprised $2.3 billion or 9% of our total loans. Turning to Slide 10, our total noninterest expense for the second quarter of 2017 was $169 million. Excluding amortization of tax credit and other investments of $28 million and amortization of core deposit intangibles of $2 million, second quarter adjusted operating expense of $140 million increased by a modest 2% linked quarter, on track with our outlook for low single-digit growth. Our adjusted efficiency ratio was 41.3% in the second quarter, an improvement of 192 basis points from 43.3% last quarter, largely reflecting revenue growth. The combination of our strong net interest income growth and the moderate increase in expenses drove attractive growth in the second quarter adjusted pretax pre-provision income of $198 million, which increased by 10% linked quarter and 20% year-over-year. Over the past 5 quarters, our pretax pre-provision profitability ratio has ranged from 2.04% to 2.27%. As you can see on the detail on Slide 11, our strong operating performance this quarter was supported by steady asset quality. The allowance for loan losses grew to $276 million as of June 30 or 1.02% of loans held-for-investment compared to $263 million or 0.99% of loans held for investment as of March 31, 2017. During the second quarter, we recorded annualized net recovery of $3 million or 4 basis points of average loans compared to annualized net charge-offs of $5 million or 8 basis points in the first quarter. We posted net recoveries in the second quarter in all loan categories, with the greatest impact from net recoveries in C&I of $2 million. The total net recoveries in the quarter reflected $8 million of gross recoveries, partially offset by $5 million of gross charge-offs. Nonperforming assets decreased by $12 million or 8% to $133 million or 0.37% of assets as of June 30, 2017, compared to 0.41% as of the end of the first quarter. East West continues to be vigilant in monitoring the credit quality of our loans and maintaining our prudent underwriting standards. At this point in the credit cycle, credit costs are at historic low levels, and it would be unrealistic for this to continue in perpetuity. Although we do not see any systemic issues in our portfolio, and real estate market fundamentals continue to export strong asset quality, we are proactively working out non-accrual loans before the cycle turns. Moving on to capital ratios on Slide 12. East West capital ratios are strong. Tangible equity per share of 21.93% as of June 30, 2017 grew 3% linked quarter and 8% through the beginning of the year. Our capital ratio increased by 21 to 27 basis points in the quarter and 39 to 58 basis points year-to-date. Current capital ratios are sufficient to support continued organic growth. East West's Board of Directors has declared third quarter 2017 dividend for the company's common stock. The common stock cash dividend of $0.20 per share is payable on August 15 to stockholders of record on August 1, 2017. I will now review our current outlook for 2017 on Slide 13, outlining our earnings drivers relative to full year 2016 results. We expect end of period loans to grow at a percentage rate in the low double digits, unchanged from our last quarter's outlook. We expect the loan growth to come from all of our loan portfolios. We have had a strong first half of the year in terms of loan growth. But in our outlook, we are conservatively reflecting the potential for a slower pace of growth in the second half of the year. We expect our adjusted net interest margins, including the impact of accretion income, to range from 3.35% and 4 -- 3, excuse me, 45, unchanged from our last quarter's outlook. Our outlook incorporates the current forward rate curve. As such, it includes 1 more Fed funds rate increase in December of 2017. Now that we are halfway through the year, we project that our full year net interest margin should be toward the higher end of our range. We expect our adjusted noninterest expense, excluding tax credit amortization and core deposit intangible amortizations, to increase at a percentage rate in the low-single digits. This expectation remains unchanged from the previous outlook. We expect the provision for credit losses to range between $40 million and $50 million in 2017, again unchanged from our previous outlook. Based on the current pipeline, we anticipate recognizing $115 million of tax credit and investments in 2017 with an associated full year tax credit expense of $95 million or $15 million in the second half of the year. These tax credits, along with other tax items, imply an effective tax rate of 26% for the full year of 2017. With that, I will now turn the call back to Dominic for closing remarks.
Dominic Ng: Thank you, Irene. In summary, we had a solid second quarter, and are optimistic in our outlook for the second half of 2017. Our organic growth and asset sensitivity support operating earnings growth and profitability expansion. We look forward to recognizing continued benefits from our asset sensitive balance sheet, which is supported by our strong deposit mix. Most importantly, we are committed to investing in the East West franchise to continue to enhance our enterprise risk management to support sustainable relationship-driven growth over the long term. In our view, our differentiated bridge banking business model offers a unique value proposition for our banking clients, which helps deliver strong returns for our shareholders. I would now open the call to questions.
Operator: [Operator Instructions]. The first question comes from Ebrahim Poonawala of Bank of America Merrill Lynch.
Ebrahim Poonawala: I was wondering if we can -- if you can just sort of, on touching on your loan growth outlook, obviously has been very strong year-to-date. And it seems pretty broad-based when we look at sort of the trends in 2Q. But Dominic, you've talked about being cautious on the CRE multifamily space. So one, I guess, as far as CRE is concerned, would love to get your updated thoughts on how you view the market and your appetite to lend into CRE in multifamily. And on C&I, would love to get an update on sort of the specialty lending verticals you've been focused on. And is the growth that we are seeing on C&I market share driven or is it more in terms of your niche businesses seeing growth and those customers are driving the growth in C&I?
Gregory Guyett: Sure. Well let me start. This is Greg. If I don't get to answer the several questions in the question, let us know. So starting with CRE. As I think we have said the last few quarters, of course, we are disciplined in our focus to the market. But I would highlight Irene's comments that we don't see it at this point any areas or issues of concern. So we continue to be open for business with our good long time customers across our footprint. And particularly, look to find growth in some of the geographic areas that we have been present in for a shorter period of time, like New York and Texas. Obviously, you'll note that our construction and land exposure was roughly flat quarter-over-quarter. And again, we continue to be pretty focused around managing risk in the riskiest parts of the commercial real estate portfolio. But we continue to see opportunities to support good customers, and we will take advantage of those. On C&I, I think is, as we said in our prepared remarks, there was growth across the portfolio in the past quarter. I wouldn't say that any one of our particular verticals stood out. I know we've called out some in previous quarters, where they have grown sort of above the trend in the rest of the portfolio. But I think that's healthy, that we are sort of at a good, reasonable growth rate across those verticals. And they'll be episodic quarter by quarter. We saw lots of opportunities in energy, for example, in Q2, but we are quite disciplined given some of the volatility in commodity prices. And what we want to make sure is that we can be consistent in these verticals and not hopping in and out of the market depending on how things are sort of going in some of the underlying trends. We continue to hire talented associates to grow our additional specialized industry verticals. And so that will remain an area of focus for us. At the same time, as we've highlighted, we are reinvesting in some of our traditional business areas. And that, again, is flowing through in some of our broad-based growth across the C&I portfolio. Did I get everything?
Ebrahim Poonawala: Yes, you did good. Well done. And just the second one, switching to deposits cost, I'll make this simple. Your outlook on deposit beta, as we saw a slight drop in noninterest rating deposits at period end basis. Just wondering, are you seeing any push from customers to move into interest-bearing deposits? Are you seeing any pressure to raise deposit costs generally?
Dominic Ng: We have seen a few so far. I mean, there's nothing of -- material. There are a few commercial clients that have meaningful amount of DDA. And now, finally, when they see that the rate has gone up to over 1% in terms of reference rate that they decided to move it to the money market account. But it's very few. It's not something that I will consider to be too much of a material situation that we have to be concerned about. But in the meantime, obviously, this is a given trend. When rate rise, I mean, [indiscernible] run rate rise about 1%, there's going to be a lot more customers, maybe start paying a little bit more attention to the interest rate environment. We are fortunate. As of today, we still do -- I mean, we have -- our customers have very large deposit, talking to our branches and then looking for a little bit higher rate. But the pressure is not as such that we considered to be of any kind of imminent concern at this stage. But we continue to watch it very carefully. As quarter-over-quarter and then month-by-month, day-by-day, we are, continue talking to our branch managers in the retail branches and also talking to our relationship manager in the commercial banking sector. And making sure that we stay alert and then watching, that the movement and then watching what's happening in the market. But as of today, we feel somewhat fortunate because I do notice that a lot of the smaller community banks are having some major challenges to dealing with these rate movement, which affects the deposit volatility, but for us right now, so far, so good.
Operator: The next question comes from Michael Young of SunTrust.
Michael Young: I apologize, I hopped on late. So if I missed this, I'm sorry. But the bump in the consulting expenses this quarter, was that the result of the independent review taking place? And maybe if you could just give us an update on the BSA/AML process and the time line there.
Dominic Ng: Yes. You are right on. We actually are finalizing that. Well actually, we did finalize it, and that's why you saw the expenses there, from a consulting expense, as our consultants who finish their validation of our -- the remediation work of the BSA, which is really the most significant size of labor hours and so forth. And that, a substantial amount of that building came in and the work were done in the second quarter. And that work's finished. And in addition to that, we also had consulting expenses to validate the [indiscernible] system. And that also is an additional expense -- consulting expenses, both came in around the same time. So we, as of today, I would say that have complete most -- all the work that we need to be -- need to be done in terms of meeting the regulatory expectation. And right at this moment, I think we have examiners in our office now reviewing our BSA results so far and so everything working according to schedule. We started business as usual. I think that pretty much right around the middle of second quarter, and we'll continue to -- I mean, but the fact is, we obviously, as of now, with a new computer system, with additional hires in the BSA expense, all of that versus what we had back in 2014 and 2015, that the expenses were higher. However, these are all business as usual going forward. So I would expect that maybe in the second -- I mean the third quarter, the consulting expenses probably will trend down a little bit, simply because we have -- don't have this one-time bigger item that hit us in the second quarter.
Michael Young: Okay, great. And just switching gears to the loan growth side. Single family residential's been very strong through the first half. Is -- you're kind of maintaining of your loan growth guidance for the second half, assuming that, that may slow at some point or become more seasonal maybe, even into the fourth quarter or is it just conservatism?
Dominic Ng: Well, when it comes to the single family mortgages, I think that if we -- we're not going to expect this 30%-plus growth quarter by quarter going forward. I think what we are looking at today is that the pipeline's still relatively strong, and I think that the expectation of us originating similar kind of volumes in the third quarter, I think that is just high. On the other hand, I think that single family mortgages, a lot has to do with interest rate environment. So if you look at today, the real estate market is still relatively stable in terms of the residential side. The interest rate environment, particularly the loan rate, still relatively stable. So therefore, as long as the environment's as such, we expect that we'll continue to have pretty good growth. Now let me just explain again on this high growth rate of single family mortgages this quarter versus like prior year. Well, I want to remind everyone that in 2015 and '16, actually we spent tremendous efforts in putting a new system and process in the, in our residential mortgage division. And with those type of enhancement, obviously, in 2016, there was a lot of distraction from focusing in origination. And all of that has been completed, I think that, in the -- sometime the middle of first quarter of 2017. So I would say that our mortgage division is more or less like a starting on the business as usual, officially in the second quarter. So that's why we have picked up also more volume, and it's not only because the market in general is pretty good, but also, we internally, also have a better processing, a faster turnaround time and just overall, the loans division has become more effective and more efficient, which allow us to originate a pretty healthy loan growth.
Gregory Guyett: I would just add, if you look at the commercial real estate and C&I portions of the portfolio, the low single-digit number, I think, is consistent with, sorry, lower double-digit number, I think it's consistent with what we've actually seen, which is a healthy pace of originations. But the payoff and runoff level has fluctuated, to some degree, with interest rate expectations and how aggressive fixed-rate lenders are on the CRE side, for example. And so the payoff, runoff portion is hard to predict, and it has been somewhat volatile through the first half.
Operator: The next question comes from Jared Shaw of Wells Fargo Securities.
Jared Shaw: My first question on the margin. What portion of the viable rate loan book moved above floors with that, with the recent June hike? And would it be realistic to expect to see a similar level of loan yield increases, following that June hike?
Irene Oh: Yes. Jared, we're pulling up the answers for your first question, as far as what moved. I think realistically though on the second half of the question, we do have less loans where the fully indexed rate is below the floor every quarter. Naturally, as rates have risen, that has changed. Although certainly, for each loan, C&I or CRE, since it's possible to get a little bit more price, we want to make sure we do so. So even with the rising rate environment, there are situations where we are putting in floors of the loans to get a little bit of more yield. But as I mentioned in the prepared remarks, as of the end of June, we had about $800 million or so. And as of the end of March, that was higher than that. Actually we're still looking for the number, not much though, but I'll get back to you, maybe after the call, Jared.
Jared Shaw: Okay. And then, maybe just a, more of a general commentary on the sentiment with cross-border trade and the exposure in China, now that we're another quarter, I guess into the new administration. What -- any change in the views on the part of either ourselves or the customer base with the opportunities ahead of them?
Dominic Ng: Well, in terms of the comprehensive economic dialogue that's actually taking place right now in Washington, D.C., since our Secretary of Treasury and also Secretary of Commerce are in dialogue, together with the associates in dialogue with the counterparts in China, there's not a whole lot that we can comment, because until they actually finalize with some decision, I think my observation at this point is that the key really is that, as long as both sides are focusing on constructive, win-win solutions, there'll be plenty of opportunities between U.S. and China to either invest or trade to both shores. But if, for whatever reason, if it turned into a political rhetoric, then that then is not going to be productive. So we don't know which direction it goes at this point. But I hope that it will be a constructive dialogue that results in some very, very tangible, concrete plan about what's going to be done next. Now in terms of reflecting back on the East West, East West Banks have been benefiting for the last several years from investment coming in from China. I wanted to remind everyone that many of these investment, when they first started, let's say 4 years ago, 5 years ago or 2 years ago, at the beginning, most of these investments who got into U.S. maybe struggling a little bit at the beginning, but then after 2 or 3 years of being in U.S., working like a U.S. company, pretty much now some of these business are start growing, just like the U.S. entities. So we are actually providing banking services to many of these entities that, while they originally are from China, they're really working just like any other U.S. companies in the United States, in many different industry sectors. Secondly, with our balance sheet, with our size, we really are not in position to finance any of these high-profile acquisition that you will read on Wall Street Journal or New York Times. So most of our investors, they're coming from China, that when it comes down to East West providing any kind of banking services or financing support in a much smaller size, and that fit into our appetite. And as of today, in fact, these activities are still going in a relatively healthy pace, unlike those very, very large, high-profile deals that obviously for the right reason, the Chinese government has decided to reign in, making sure that things don't get too much out of control so that they can effectively manage not just the GDP growth and also the currency. But in the meantime, continue to fulfill their promises of reform and building up their domestic market. So all of those things they are juggling at the same time, is going to require the government to constantly, to make adjustment here and there. And -- but from our standpoint, we continue to stick with working with the smaller deals. And in addition to that, companies that are coming here for strategic reason, which is for pure financial reason, because those company coming in for strategic reason, they are continually getting the approval from the central government to allow them to go abroad and invest in U.S. and other overseas countries. So that's where we are at this stage, and we do not see at this point, anything of material that may affect our ability to grow in the next 2 quarters.
Operator: The next question comes from Ken Zerbe of Morgan Stanley.
Kenneth Zerbe: I guess, first question is, just in terms of capital. Obviously, your capital ratios have been trending higher over time. Doesn't necessarily look like asset growth or dividends is really using up a lot of that capital generation. How do you think about capital and your plans for capital over time, from here?
Dominic Ng: Well, we like the continued growth in our capital at this point, because we wanted to be conservative and we wanted to make sure that when there are opportunities in the future that allow us to have even more stronger organic growth, that we have the capital that's available that allow us to go forward in that direction. So, so far, we feel that we have pretty good organic growth, and we do not want to put ourselves in a position that when it comes to a certain level of growth, that we have to either sell down the loans or maybe asking our customers to say that well, we reached certain size limit, and you have to go somewhere else. And that's not going to be healthy. So we wanted to have enough cushion to allow us to have the ability to fulfill the potential organic growth that may be coming. The reason is that we have made substantial investments, not only to our back office infrastructure, but investments that have helped us to enhance our capabilities. So that some of the customers may be a little bit too complex for us to handle from a cash management point of view in the past, now we can take them on. The more of these customers that you can take on, the more customers we can expand into a deeper relationship, the more likely that we have a stronger organic growth in the future. So we need the capital to support that. And other thing is that we also are not in a position that -- we're also in a position that we're well aware that we have pretty much 6 or 7 years of growth cycle -- a strong growth environment. And you cannot cycle a cyclical. So every now and then, there's always something that may cause a blip, and we do not want to put East West in a position that in case there's a recession that come along, that somehow we are tight on capital. So our position is that, since we are able to generate a very, very high return of equity and asset compared with our peers, may not be as high compared with other industry, when compared with our banking industry overall peers, I think that we look pretty good. So therefore, we really don't think that it's necessary for us to really tighten up the capital too much. So at this stage right now, I would say that there is not going to be any plan for any kind of buyback or any other kind of like capital plan to make our capital ratio lower or make it more efficient and so forth.
Kenneth Zerbe: Great, okay. Helpful. And then, just one other question. What drives the appetite you guys have for tax credit investments? Like, I mean, essentially, is it just the rate environment? Is there something more? I'm just kind of curious on what, sort of why now? Why increase it, say this quarter versus last quarter?
Dominic Ng: Can you repeat the question again?
Kenneth Zerbe: Yes, just in terms of the tax credit. Your, sort of your appetite for tax credit investments, right? Obviously, it affects the amortization, it affects the tax rate. It looks like you're going to have higher tax rate amortization, so I'm assuming you're putting on more tax credit investments. But what drives that? Like what drives that decision to add even more of those investments going forward than you did, say, at the beginning of the year?
Irene Oh: Sure. So at the beginning of the year, so what we are providing and sharing with our forecast is really the pipeline, which investments we think that we are interested in, that will close during the year. And in the quarter, we share that we did increase by 1 tax credit investment, that will be placed in service in 2017. And that is some of the difference as far as the amortization and also the impact to the tax rate. At the end of the day, with the tax credit investments, what we're looking at is the quality of the project, also the IAR for that. And our view of this is really similar to other assets on the books as far as what makes sense from a risk relative to return perspective. And certainly, our view right now is in a rate environment where short-term rates have risen, the long term rates, 10-year swap rates are still relatively low, we feel that this is attractive, although it may not be the right kind of volume on a go-forward basis, right now it make sense for us. Does that help answer your question?
Operator: The next question comes from Lana Chan of BMO Capital Markets.
Lana Chan: I think last quarter you gave us your exposure on retail industry within your CRE, C&I portfolio is about $3 billion. Have you looked at, within that bucket how much exposure there is to grocers, I guess given what's happened with the Whole Foods/Amazon deal, and some of -- other new entrants into the grocery market?
Gregory Guyett: Sure. I mean the -- part of our review, so I'm not sure I'll be able to answer all the questions specifically. We can follow-up if needed. But I would say in a general sense, just to remind folks on the call that we have in that portfolio, the average loan size is about $2 million with very low loan-to-values across the portfolio. I wouldn't say any of the loan-to-values stand out. So the average is kind of also pretty consistent with where all the individual loans are. If you took that and you said sort of grocers, to get to your question specifically, I think you kind of put that into 3 buckets or 3 categories. The first category would be sort of mainline change, the kinds that are, that have targeted a lot of the speculation in the wake of the Amazon/Whole Foods announced transaction. And I would say there, we have very little exposure to comparable grocery chains at that kind of size. The second area would be strip centers, I guess I would call them, that may be anchored by a grocery store that's, I don't know, anywhere between 10% and 30% of the center. But these would be very small stores, in the most part, ethnic grocers serving the communities in which they're located. And again, low loan-to-values. Often, the grocery store that's anchoring the strip center, the same borrower owns the strip center, which again would largely be filled with service businesses, nail salons, hair dressers and the like. And then the third area is we do have some customers in our C&I business, again the same types of grocery businesses that may have multiple locations in these strip centers, serving the ethnic communities. And so these would tend to be small chains and small stores. I don't think any of those 3 categories I just talked about, we're certainly not the first one, but neither the second or the third, comprise a significant portion of the overall portfolio.
Lana Chan: Okay. That's very good color. Appreciate it. Just one follow-up question on the loans to deposit growth, year-to-date, it looks like total loan growth is outstripping total deposit growth by a few percentage points. How do you think about that in terms of funding for the year? Do you think that you'll have to start stepping up some of the deposit rates to get the funding for the loan growth that you're targeting?
Gregory Guyett: Let me start with a general answer, and then maybe we can dig in a little bit. I think with a loan-to-deposit ratio of 87%, we continue to be very, very comfortable with the funding on our balance sheet, our liquidity and our ability to fund the kind of organic growth that we've talked about for the balance of the year. I think a lot, as Dominic talked earlier about the -- our approach to deposit pricing, where we've seen a little bit of pressure, not very much, a little bit of pressure in some of our larger deposit customers, particularly in the commercial business, but certainly not enough to say it's a trend. And so, I think as we said in the prepared remarks, we felt comfortable that given our outlook on loan growth, we can maintain discipline in pricing and fund that loan growth through the balance of the year. I mean obviously, as Dominic highlighted, we continue to be vigilant because we don't want to be late to the party if all of a sudden we start to see deposit rates going up. We want to make sure we're competitive. But so far, we haven't seen any undue pressure there.
Operator: The next question comes from Aaron Deer of Sandler O'Neill + Partners.
Aaron Deer: Maybe if I could just follow up on that deposit discussion. And I'm curious, to the extent that you saw the decline in noninterest-bearing deposits during the quarter, were you able to track kind of where those flows went? Were those internal flows, and the other deposit accounts sort of, they've moved externally? Or what kind of trends do you see there?
Dominic Ng: We actually have -- are you talking about the noninterest-bearing deposits?
Aaron Deer: Yes.
Dominic Ng: Yes, we actually have a slight growth from our average. I think we have a slight growth on average balance point of view. So I mean, that's something that we -- I mean, when you look at the quarter end date, June 30, it's very, very difficult to sort of make a specific comment simply because anything can happen in that particular date. But when it comes to the average balances, we actually continue to see some growth.
Irene Oh: Yes, and I'll just add to that, Aaron. I think across the board, there were some customers that migrated into other deposit categories. We have obviously new customers as well, or new balances, and some of that exited as well. Nothing unusual really in the nature of that, I think it's just the mix and the timing.
Aaron Deer: Okay. And then it sounded like the C&I growth was fairly well diversified across the kind of categories within there. I'm just curious, Dominic, you commented last quarter, it sounded like there was an uptick in your line you said that helped drive last quarter's increase. Where did the line you said stand this quarter relative to last?
Gregory Guyett: I think, I can't remember if I had this in my prepared remarks or not. But roughly flat to the first quarter. I mean, we said in the first quarter call that we had seen a couple of hundred basis points increase and we didn't expect that to continue growing at the same rate, and it was roughly flat in the second quarter.
Operator: The next question comes from Matthew Clark of Piper Jaffray.
Matthew Clark: Just a follow-up question on the loan pipeline. Just curious how that looks today, year-over-year and linked quarter?
Gregory Guyett: Yes, the loan pipeline certainly is consistent with the outlook that we're providing, in terms of low double-digit growth. So we're comfortable at this point with that. As I said a few minutes ago, probably the bigger point of volatility is what's happening in the competitive environment, particularly on the commercial real estate side and how aggressive fixed rate term lenders are. And as I said, we saw less aggressive approaches to our customers in the first quarter. I think that has something to do with expectations for interest rate increases. Some of that abated in the second quarter. And so we saw a little bit of more aggressive behavior from some of those competitors. So it's hard to predict where that's going to go. But the underlying pipeline is consistent with our outlook.
Matthew Clark: Okay. And then, just on expenses. With the low single-digit core expense growth guidance, still, it seems like there's going to be some relief in the second half. You talked to the consulting expenses coming down. Just curious if there's anything else that we should we be thinking about?
Irene Oh: Yes, Matthew, as Dominic mentioned, we do expect some of the consulting expenses to tick downward. I would say though, we are continuing to build the business, make investments in people. So comp is something that we expect to continue to increase. But all in all, with other kind of moving items as well, we're comfortable with the low single-digit guidance and forecast that we have.
Dominic Ng: I think philosophically, again, I feel that because for the last few years we have consistently generated pretty decent earnings and return of equity and return to asset, relatively speaking, compared with the industry average and now also compared with our peers, and we always been consistent ranked above. So it really is kind of like a, appropriate and perfect timing for us to investing in the organization on risk management and infrastructure, just to ensure that while we are growing, that we do not get ourselves in a position that we have not taken care of -- solidify our overall risk management. And for that reason, we have these net interest margins that are supporting -- I mean, very favorable. We have the loan growth and the deposit rate, has only ticked up a few basis points despite these several different hikes. So it's really a great environment for us to invest a little bit heavier in terms of our system, the platform, to make sure its scalable and then bring in more talented associates who can help us to sustain our growth in the long run. So we will continue to do that. I think that we've done that in 2016. And we are doing it, I mean, in 2017. And I would expect that in the third and the fourth quarter we will continue to find the opportunity to hire the talent people and then find opportunity to upgrade, whether the system or certain infrastructure, et cetera, et cetera. So from that standpoint, I think we should expect the expenses to continue to grow steadily. We just need to make sure that we'll continue to have the ability to have the earnings that can support it, and that's what we're doing right now. And then, I would say that the guidance right now is exactly what we expected.
Operator: The next question comes from Chris McGratty of KBW.
Christopher McGratty: Dominic, if can follow up on Matt's question about the expenses. Obviously, the revenue picture is improving for you guys, probably a little bit better than peers, given the margin performance. If you kind of look out longer-term maybe beyond this year, are there certain investments that you may have put off that make it a little bit easier, given that you can still maintain pretty good operating leverage given the top line growth is growing a little bit quicker? Or should we be thinking about, kind of this lowish, single-digit is sustainable, kind of in the out years?
Dominic Ng: Not sure I understand the question.
Christopher McGratty: More on the expenses right, can you maintain at 3%, or will you maintain like kind of a low single-digit expense run rate going forward, if you're making a little bit more on the revenue side? Are there certain investments you have delayed that you may make next year?
Dominic Ng: Well, I think at this stage right now, we have projects that we basically focus on, one at a time. We, I mean, the key thing is, this is not like while we are enjoying the current expansion of revenues and profitability that we actually should just put a lot of time into just ignoring, taking care of customers. So I think that even on building or expanding and building on the back office risk management, system infrastructure and all of that, it's still sort of like a little bit more organized way of one step at a time, going forward. And we have put these things in place and continue to work on it. And so I think that's, that the guidance is pretty much based on that kind of schedule. Well I, when I emphasize about we are continuing to invest, that doesn't mean that we will actually -- we have actually changed our direction, and then load up more, now and then -- that we shouldn't have. And then, the other thing is that if you look back in a different way, we could have not -- we could have been in a position than not do some of these investments. And just to make sure that we maintain strong earnings. But I feel that we are a little bit fortunate right now that maybe some other banks out there that really are not in the same position and cannot afford to do what we're doing, because of our ability to continue to have revenue expansion and profitability, that we are able to continue to invest. But East West has always been very frugal in a certain degree, that we're always going to be watching every dime. And -- but we just -- while we are watching every dime, we're not wasteful. I think the money that we spend, that we feel that are worthwhile projects that will help us in the long run, and we are doing that in a sort of like systematic and organized manner.
Gregory Guyett: And I would just add that, to Dominic's point, we're making a lot of investments, which we're funding with the expense growth that we've discussed in our outlook around enterprise risk management and infrastructure and quality of systems and MIS and so forth. And I think we feel we can continue to make those investments with that type of expense outlook. And then I would say -- and the second piece of that is, if we were to see some interesting opportunities to put a team in place, to expand into an industry vertical that we're not currently in, or a geographic opportunity that's organic, that obviously we would do only if it came with significant revenue. Again, in those kinds of cases, you might see some volatility in that expense number. But again, that's only going to be where we see really attractive revenue opportunities.
Christopher McGratty: That's great color. Just a follow-up. We've heard from a few banks about earnings credits rates being selectively addressed. Have you any, anything notable to report on earnings credit rates at the bank?
Gregory Guyett: No. No, not really.
Operator: The next question comes from David Chiaverini of Wedbush Securities.
David Chiaverini: So question on residential mortgage lending. So I'm hearing anecdotally that the appetite for real estate properties in Southern California from Chinese nationals could be waning, but based on your strong growth, it doesn't seem to be impacting your business. Are you seeing any slowdown in real estate buying activity by Chinese nationals? And if so, are your mainstream borrowers picking up the slack?
Dominic Ng: Again, I think you highlight the keyword, anecdotally. I also heard it anecdotally. But in fact, if you look at the national report, just came out, it was a stunning recognition of actually it was nationally, there's almost 40%, 50% increase of Chinese nationals investing in U.S. real estate. And so the numbers is kind of like not somewhat in sync with what we've been hearing anecdotally. So I think that has a lot to do with, I think, one, is that maybe -- I mean, there are a lot more -- maybe they're a lot more Chinese nationals for the last year, shopping, looking and maybe also some of the transaction were complete in a much more intense competition kind of arena. So for example, you would hear that there are multiple biddings, the home was sold about the asking price, those are the kinds of things that happening in the last 2 to 3 years. And frankly, it's not just because of the Chinese investors. And what we find is that in multiple areas that we have branches, and U.S. citizens are bidding these homes in the same sort of aggressive manner. So but if I look at today, I would say that, in general, when a property got listed in a market, it takes a little bit longer to get it sold. But we haven't seen price coming down. It just takes a little bit longer to get sold. And every now and then, when we try to go and look into who's buying it, and when we find that there's a so far equal number of, in terms of percentage, of Chinese national are still buying, I do feel that there's more likely of buying in the little bit lower end market versus the upper end market. So if you hear that, again, in New York or maybe San Francisco and L.A., these multimillion dollar homes are, oftentimes in the last 2 or 3 years, you will hear that these are foreign investors who are acquiring these homes, including some from China. I would say that we would not expect too many of that in the next several months to the next couple of years. Again, keep in mind at East West scenario is that the home that we are financing, most of them are not in their kind of multimillion dollar price range. We hardly have any of those multimillion dollar price range kind of mortgages. And in fact, most of the homes that we're financing have a mortgage in a much lower amount. So therefore, it's a little bit of a different market. We see that -- I mean, there are still pipeline there, and many of them are just refinancing. And so, from our perspective, it's a little bit different than what the overall trend in the market as of today. I do expect that in the next year or 2, my expectation that at that volume of overseas investor buying homes in the United States has to come down a little. So far, the statistics haven't reflected that. We'll find out, I think that next year, about June, they will show the new report again, and we'll figure out whether that we'll get it right, because you're absolutely correct, anecdotally. As peers react to this, slowing down a little bit, and -- but factual information that just came out, is -- reflect differently. So maybe next year, it will come down a little bit.
David Chiaverini: And follow up on cross-border lending. When you say East West does smaller deals rather than larger deals, how do you define the smaller deal size range? What size loans are we talking with these borrowers?
Gregory Guyett: Well, we're in a -- very much focused on the, sort of broad middle market. And there's -- it can range. But I think generally, if you look at where we've finance, subsidiaries or affiliates of Chinese companies, the $10 million to $50 million range would be in our sweet spot. And again, it can be across a little bit of cash flow lending, a lot of collateral supported lendings, sometimes equipment finance. And I think Dominic made the point, which is generally, we're looking at the credits of the subsidiaries or affiliates as they operate on a sort of standalone basis. Of course, we often have relationships at the parent company, which gives us additional comfort and confidence and a little bit of an edge in terms of winning business on this side of the ocean.
Operator: The next question is a follow-up from Aaron Deer of Sandler O'Neill + Partners.
Aaron Deer: My question has been answered.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Dominic Ng for any closing remarks.
Dominic Ng: Thank you. Again, I want to thank everyone for joining our call today, and we are looking forward to speaking with you again in October. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a good day.